Operator: Greetings, and welcome to the Marcus & Millichap Fourth Quarter 2017 Earnings Conference Call. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to introduce your host, Evelyn Infurna, Managing Director of Investor Relations. Thank you, Ms. Infurna. You may begin.
Evelyn Infurna: Thank you. Good afternoon, and welcome to Marcus & Millichap’s fourth quarter 2017 earnings conference call. With us today are President and Chief Executive Officer, Hessam Nadji; and Chief Financial Officer, Marty Louie. Before I turn the call over to management, please remember that our prepared remarks and responses to questions may contain forward-looking statements. Words such as may, will, expect, believe, estimate, anticipate, goal and variation of these words and similar expressions are intended to identify forward-looking statements. Actual results could differ materially from those implied by such forward-looking statements due to a variety of factors, including, but not limited to, general economic conditions and commercial real estate market conditions; the Company’s ability to retain and attract transactional professionals; the Company’s ability to retain its business philosophy and partnership culture amid competitive pressures; the Company’s ability to integrate new agents and sustain its growth and other factors discussed in the Company’s public filings, including its Annual Report on Form 10-K, which will be filed with the Securities and Exchange Commission on March 16, 2018. Although the company believes the expectations reflected in such forward-looking statements are based upon reasonable assumptions, it can make no assurance that its expectations will be attained. The company undertakes no obligation to update any forward-looking statement, whether as a result of new information, future events or otherwise. In addition, certain of the financial information presented on this call represents non-GAAP financial measures. The Company’s earnings release and earnings conference call presentation which was issued this afternoon is available on the Company’s website, presents reconciliations to the appropriate GAAP measures and explanations of why the company believes such non-GAAP measures are useful to investors. Finally, this conference call is being webcast. The webcast link is available on the Investor Relations section of our website, www.marcusmillichap.com, along with a slide presentation you may reference during the prepared remarks. With that, it is now my pleasure to turn the call over to Hessam.
Hessam Nadji: Thank you, Evelyn. On behalf of the Marcus & Millichap team, good afternoon, everyone, and thank you for joining our fourth quarter 2017 earnings call. 2017 was a challenging year in the marketplace and for us, as we helped our clients navigate through a widened bid-ask spread and uncertainty related to tax reform. This tested our results in overcoming in a slower sales environment, while staying the course on critical investments in the Marcus & Millichap platform, which we believe are essential to the Company’s long-term growth. We expanded client outreach and marketing initiatives, we implemented after the market disruption in the fourth quarter of 2016, resulted in steady improvement in our revenue with timeline throughout 2017. These efforts culminated in revenue growth of 7.2% in the fourth quarter compared to a revenue decline of 6.9% in the prior year. We once again grew our Private Client market share and extended our leadership in this vital segment. Our financing revenue grew by 23% in the fourth quarter and 14.3% for the year. And we saw an increase in advisory and consulting fees, as more clients sought our expertise on assets, market and recapitalization strategy. Most importantly, we entered 2018 with more positive leading indicators, particularly, as related to our inventory and pipeline. Let me state that these positive trends are a result of our internal initiatives as opposed to any measurable upturn in market activity. While these developments are encouraging, let me also reiterate, that achieving higher growth rates and financial results for our shareholders, while continually positioning the company for long-term competitiveness, encapsulates managements entire focus. Of course, the biggest news was the passage of the new tax legislation. The anticipation of which pushed many investors to the sidelines, particularly private investors. Favorable commercial royalty tax provisions were retained in the new law, including the 1031 tax preferred exchange, the mortgage interest deduction and depreciation. Lower corporate taxes are also expected to boost earnings and investment of facility, equipment and growth strategies, all of which should help extend job creation and the economic expansion. For our primary client base, the passage of the tax law provides more clarity, since they now know it’s basic framework. There has clearly been an uptick in investor’s sentiment since the law passed, but at the same time, there is a residual confusion regarding certain aspects of the law that still need answers. The most common questions center on pass-through entities and depreciation of certain asset-specific provision. It may take time for Congress to provide clarity on these issues and for investors who subsequently absorb them. Meanwhile, interest rates are up 40 basis points since the passage of the new tax law, which is anticipated to have a stimulative effect on the economy. This effect coupled with a tight labor market and writing wages may introduce inflation and further rate increase. Consequently, we expect that horizon real estate trading volume will be gradual as the marketplace suggest these factors. In the long run, we believe lower taxes and moderately higher inflation are both supportive of commercial real estate investments and new capital formation. As a sidenote to illustrate the need for clarity and direction, on January 11, we held a special webcast, addressing the new tax law and the 2018 market outlook for our clients. We had over 10,000 investors registered for the webcast within a week of its announcement, and countless individual follow-ups since. Having several thousand clients on our market overview is not unusual, but 10,000 was clearly a record and additional broadcast our plan throughout 2018, even the need for more information. This highlights the power of the Marcus & Millichap brand, market reach and our ability to provide guidance for our clients through market changes, which has been a cornerstone of ours for 47 years. I will now turn to some internal metrics to give you more color on our operations. Last year Private Client transactions grew by 2.3%, in contrast to an estimated average decline of 3% to 5% in market sales throughout the year. We believe this to be indicative of additional market share gains for MMI, which we now estimate to be at nearly 9%, by far the highest in the industry. The Private Client segment, once again, accounted for an estimated 84% of transactions in the marketplace. In our view, a rising share represents long-term relationship with more investors, whose need for investment, financing and advisory services will continue to grow. I’m also happy to report solid growth in our office and industrial Private Client sales, as part of our ongoing diversification strategy. Revenue from our larger transactions rose 5.1% in the quarter, on top of the 15.1% increase in the prior year. For the year, revenue in this segment declined by 11%, particularly due to weakness in first half of 2017 and an outside gain of 32% in 2016. While sales in larger assets are more variable, increase presence throughout the spectrums of asset value and investors is an important part of our long-term strategy. This is critical to the retention of our maturing agents and another expanding investment horizon of our client. Our specialty executives work in helping our team service larger accounts and recent recruiting of highly experienced property specialists are examples of progress in this supplemental strategy to our core Private Client business. As I reported earlier, our financing revenue grew by 23% in the fourth quarter and 14.3% for the year. We saw a resurgence in purchase-related financing in the fourth quarter compared to previous quarters in the year, when refinancing took center stage among our clients. These results were driven by our expanded lender relationships and focus on reshaping of our team with more experienced financing professionals. The financing headcount reduction last year was part of this strategy. We are excited about the growth opportunities ahead of MMCC and I want to take a moment to acknowledge the hard work and commitment of Bill Hughes, who started the division for us in 1996. Bill recently announced his transition into retirement and we have begun the process of selecting his successor. Bill, with his wealth of knowledge and deep relationships will continue his role as a Division Head until his replacement is announced, and will be an advisor to us for some time after that. Last year, our investment salesforce grew by 89 professionals or 5.4%, which is in line with our target of 80 to 90 on the investment broker side and 10 to 20 financing professionals, which I addressed earlier. What we believe the overall goal of 100 total additions per year is achievable. We are being even more selective in this market environment, even the necessary adjustment, our hiring trends over the next several quarters are likely to be somewhat more volatile. Our increased hiring of experienced brokers showed solid progress last year, and we continue to track professionals who recognize the value of our platform and support systems. Looking ahead, we project the economic expansion continuing this year, with job growth remaining in the $2 million range, a healthy level that can generate plenty of demand for commercial real estate across the board. We also expect property fundamentals to remain healthy with overbuilding limited to luxury apartments, hotels and self storage and specific metros. We see no major factors disrupting the supply demand balance for the industry in the foreseeable future. On the capital markets front, the increase in interest rates to four-year highs, pressuring the already widened bid-ask spread in the marketplace. Investors are reconciling the benefits of the new tax law with a higher cost of debt. The outlook on pricing and sales velocity largely depends on inflation readings and the Fed’s reaction over the next few months. We see plenty of liquidity and competition among lenders, but underwriting remains tight. Discipline lending in this expansion has prevented over leveraging, which is one of the main reason the cycle has more runway. On the equity side, we see ample appetite for deploying capital into real estate, and realistically priced assets continue to generate multiple offers. However, as I’d explained earlier, the alignment of buyers and sellers expectations will take some time. Before I turn the call over to Marty, I would like to brief you on our capital allocation plan, which we updated as part of our year-end assessment of the company. Our balance sheet remains a point of strength as we continue to generate healthy levels of free cash flow. From a reserve point of view, we believe it is important for us to retain sufficient capital in four key areas. First, to comfortably satisfy obligations including liability related to deferred broker and employee compensation. Secondly, to invest in infrastructure, brokerage support systems, and proprietary tools that enhance our platform. Third, to be well positioned defensively and offensively in the event of an on unexpected and significant market downturn and lastly, to execute accretive acquisitions of companies, brokers and teams. After updating our plans and accounting for a lower tax rate going forward, we expect to generate more capital and these areas require. As such, we are currently working with our board to determine the appropriate scope and vehicles for returning capital to shareholders through dividends and a potential share buyback. We are keenly aware of the importance of balancing our tradition of keeping the company strong through financial safeguards, while maximizing shareholder return and look forward to sharing the next steps in the next few months. On the M&A front, as we have previously shared with you, we are seeing more reasonable valuation expectations that have increased our dialogue with potential targets. We are encouraged by some of the opportunities, but remain vigilant when it comes to underwriting with reasonable growth assumptions, given the maturing real estate cycle. I will now turn the call over to Marty to discuss our results in more detail. Marty?
Marty Louie: Thanks, Hessam. I’ll be discussing our fourth quarter 2017 and full year results in greater detail. Total revenues in the fourth quarter were $203 million, up 7.2% year-over-year, due to gains across all of our business lines. Revenue from real estate brokerage commissions, which accounted for 87.4% of our revenue, grew 2.7% to $177 million. While our Private Client business slightly decline to $116 million during the fourth quarter, the number of transactions actually increased by nearly 1%, which points to continued market share gains. Our Larger Transaction Market segment performed well, growing year-over-year by 5.1% for the fourth quarter to $26.6 million, despite facing a tough year-over-year comparison with solid segment growth 15.1% last year. For 2017, total revenues increased slightly to $720 million, largely driven by the growth in financing fees and other revenues. This is a slight decrease of 1.9% in real estate brokerage commissions to $649 million. As we have discussed throughout the year, uncertainty has kept many investors on the sidelines, resulting in a slowdown in market sales. This was the primary factor impacting the Private Client Market, which accounts for the vast majority of our revenues. Overall, we executed 2443 transactions in the fourth quarter, up 5.8% from the prior year. For 2017, the total number of transactions executed by our agents was consistent with the prior year at just under 9000. The total sales volume for the quarter increased 12.1% year-over-year to $12.3 billion and $42.2 billion for the full year. As a reminder, larger transactions for real estate brokerage, which are more variable, had outsized revenue growth of 32% in 2016 and experienced 11% decline in 2017. We are encouraged by the results in the fourth quarter in a more challenging market environment and our ability to increase our Private Client Market share by an estimated 50 basis points for the year. Revenue from financing fees grew an impressive 22.6% to $15.5 million for the quarter. The increase was driven primarily by growth and financing purchase transactions. For the year, financing revenues grew a healthy 14.3% to $49.7 million, or nearly 7% of total revenue. This was driven by strong refinancing activities during the first half of the year, as many investors decided to recap their investments due to the widened bid-ask spread and market uncertainty, while in the second half of the year experienced an increase in the number of financing purchase transactions. Other revenues, which is comprised primarily of consulting and advisory fees, grew to $9.9 million in the fourth quarter. This includes fees associated with the previous sale of a $400 million project. The growth in this area is a result of our agents providing consulting and advisory assistance to our clients during times of market shifts and/or uncertainties. Total operating expenses, which include cost of services, SG&A and to a lesser extent, depreciation and amortization for the fourth quarter, were $175 million compared to $161 million during the prior year. Cost of services increased by 8.3% year-over-year to $132 million, due to the increase in larger transactions over the fourth quarter in 2016. As a percent of total revenues, cost of services increased 70 basis points to 65%, which is reflective of our senior agents. These agents are generally on higher commission splits and closed a greater number of deals during the quarter, particularly larger transactions. As a reminder, this expense is primarily comprised of commissions paid to the company’s investment sales professionals and compensations related to financing activities. For the quarter, SG&A was up 10.1% year-over-year to $42 million, due to sales and marketing expenses, lease renewals, expansion of offices in key strategic metros, investments and proprietary technology, brokerage support systems, compensation-related costs, as well as stock-based compensation. These increases were partially offset by reduction in legal cost and other various accruals. On a full year basis, total operating expenses increased by 2.1%, ending the year at $624 million compared to $611 million in 2016. This increase is consistent with what we have messaged throughout the year, it reflects our ongoing focus on investing in those areas that will have long-term competitive advantages for the company and support future growth, while tightly managing cost in other areas. For the fourth quarter of 2017, net income was $8.5 million or $0.22 per share compared to $17.2 million or $0.44 per share in 2016, which includes onetime tax charge. For the year, net income increased to $51.5 million or $1.32 per share. It’s important to note that these numbers include a onetime charge, in the amount of $11.6 million due to the remeasurement of our deferred tax assets, as a result of the enactment of the Tax Cuts and Jobs Act. Excluding the onetime charge, net income for the fourth quarter would have been $20.1 million or $0.52 per share basic and $0.51 per share diluted. For the year, net income would have been $63.2 million or $1.62 per share basic and diluted. Also included in our adjusted net income, was the net windfall tax benefit that we mentioned during our third quarter earnings call. As a reminder, the company adopted a new accounting pronouncement that required any net windfall tax benefits to be recorded as a discrete item against the company’s tax provision. This windfall tax benefit was recorded in additional paid in capital, in the previous years. These windfalls arise from the difference in the grant date price and vesting date price of non-broker restricted stock units, deferred stock units and restricted stock awards. The company recognized approximately $2.7 million in that windfall tax benefits in the fourth quarter of 2017. This equated to an additional $0.07 to the company’s basic and diluted EPS. By comparison, in the fourth quarter of 2016, the company recorded $2.5 million of windfall tax benefits directly to APEC. In 2018, the company expects to realize windfall tax benefits from divesting of RSUs, DSUs and RSAs, primarily from those that were issued in connection with the Company’s IPO and vest during the fourth quarter. Adjusted EBITDA increased by 2.7% to $32 million during the quarter. For the year, adjusted EBITDA declined by 5.6% to $112 million. Our adjusted EBITDA margin for the fourth quarter decreased 70 basis points to 50.8%, while the year’s EBITDA margin contracted 100 basis points to 15.5%. This was a function of higher expenses in upgrading our tools, support systems and giving us room for growth in key markets, as we’ve been sharing with you throughout the year. We expect expense leveraging to resume this year as we’ve completed most of the investments we have discussed in the past. We will continue to invest strategically in our platform infrastructure and technology provide our agents with appropriate tools and level of support they need to grow their businesses. Accordingly, we expect to grow in SG&A to be – the growth in SG&A to be slightly lower than revenue growth. As Hessam referred to earlier, numerous payable commercial real estate tax provisions for retain in a new tax law. However, there are still many holes that Congress needs to address, combined with higher interest rates, investors will require time to determine how these changes will affect their investment strategies. As such, we believe that growth this year in the investment sales market will be gradual and may take time to materialize. As we have indicated in the past, our goals to continue expanding our market share, growing our sales force and expanding financing business. The combination of our improved net leading indicators, expense leveraging combined with revenue growth should help drive adjusted EBITDA margin expansion in 2018. From a balance sheet perspective, Marcus & Millichap continues to be well positioned to grow its business organically and to pursue selective acquisitions. Our liquidity levels are very healthy, ending the year with approximately $311 million in cash, cash equivalents and core cash investments. We believe the strength of our balance sheet, especially in a maturing cycle will be a major advantage for MMI, as we continue to seek ways to augment our organic growth. As Hessam mentioned earlier, we are also determining the appropriate scope and vehicle for returning capital to our shareholders. Before closing, I’d like to point out a number of key items and highlights, which may have an impact on our 2018 results. Despite achieving two consecutive quarters of revenue growth, we continue to face market headwinds, as summarized earlier in the call. We believe our ability to grow revenue and continued to take market share is correlated with the steps we have taken over the last year to invest in our systems, infrastructure and our team. Secondly, it has only been a little more than two months since the new tax law was passed, while we expect it be a net positive for our business, our clients and the industry. We have not seen a noticeable number of investors move off the sidelines, as of yet. They continue to evaluate and assess the expected impact of the intro excuse of this a new law. Third, we estimate our corporate tax rate to fall to approximately between 25.5% and 27.5%, from nearly 40% in prior years. In addition, 2018 will be the last year we would recognize a large net windfall tax benefit, as the last tranche of equity, provided at the IPO, will be investing in the fourth quarter of 2018. We will provide more information about the impact this will have on earnings during our third quarter call. Finally, the comparable for larger transactions during the first quarter will be easier, given last year’s large decline in this market segment. Recall that larger transactions remains susceptible to variability from quarter-to-quarter, despite the significant inroads we have made in this segment over the past few years. I’d like to now open up the call for Q&A. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] The first question comes from Mitch Germain of JMP Securities. Please go ahead.
Mitch Germain: Good evening. How are you?
Hessam Nadji: Hi, Mitch. Great, how are you doing?
Mitch Germain: I’m great. I’m great. So just want to make sure, I can clarify that. Can you – the consulting fee that you guys recorded in the quarter, some of it – how should I think about it? All of it is in other revenue, or some of it’s in the other revenue, some of it’s in the brokerage revenue, and maybe just kind of talk about the background when that saying.
Marty Louie: Sure. First of all, in the whole category of other revenue, which is predominantly consulting and advisory services, you have to remember those are generated by really the same client base we do our brokerage and financing business. So it’s not really a different business line, if you will, just a different type of business with our same client base. But that particular period, we had one fee that was really to project that had actually been filled a while back, but there were some additional fees related to that sale that we’re collected and the best categorized under other instead of sales during the fourth quarter.
Mitch Germain: Okay. And that was – you said, you referenced that was the$400 million was the senior housing portfolio, correct.
Marty Louie: No, it was a different portfolio of single tenant lease product. And it had already closed sometime ago, but this was a residual fee related to that sale.
Mitch Germain: Got you. And just remind me, Marty, what’s in the other income expense line? Actually, that’s grown a little quarter-over-quarter, is that from – related to the cash balance rise? I mean, how should I think about that line item?
Marty Louie: Yes, it’s definitely related to the cash balance. We have some foreign exchange items in there as well.
Hessam Nadji: And deferred comp gains.
Mitch Germain: Okay. When I think about the business in general, you guys talked about making those investments and sales and marketing materials, given the volatility, post election. Should I’d be thinking that maybe some of the increase in G&A that you got overhead, that you guys of experienced and I think was a 10%, or so, rise in 2018? The increase won’t be as significant, considering that the marketing materials a kind of disappear from the story relative to how much you guys are spent last year. How should I think about the expense side of the equation?
Hessam Nadji: Well, you’re absolutely right, Mitch, and there was a catch-up effect, if you will, on some of the projects that we wanted to invest in both 2016 and 2017 and the bulk of those new projects and new investments have been completed. A lot of the expense items aren’t going to go away, but you are right in that the rate of growth related to those kinds of things will be a lot less.
Mitch Germain: Great. Hessam, you talked about uncertainty, and again, talking about election heading into this year and then at the end of last year, tax reform. In talking to some of your customers, I know you talked about having 10,000 or so people chiming into your call. How would you consider – the sentiment is across your customers base, I mean, I think you referenced – pipelines are growing, things seem stable, yet, there still some uncertainty. I mean, how do you think they are kind of feeling level constructiveness in terms of kind of where we stood maybe six months or twelve months ago.
Hessam Nadji: Sure, the sentiment has definitely improved since the passage of the tax law, in that people are looking more favorably at the economic outlook, for sure. They are looking favorably on the way that the real estate came out of the tax reform process. But in the backdrop of a market that doesn't have any distress, cash flows are strong, occupancy are strong and there is really no problem to solve if you will in the marketplace even the clients that we are interact with all the time, they really would like to trade, whether it's still one asset and exchange into another asset, or these usual trading that that we normally experience or hesitant to do so on, so there is more clarity on the specifics of the tax reform. As Marty said, it's only been a couple of months. We need some more answers for some questions that are out there regarding really the flow through entities and deductions that apply there and some of the other provisions in the tax code. So the desire to want to transact is there, the capital that’s on the sideline that is looking at assets is definitely there. Sentiment has definitely improved, but in terms of any pulling of the trigger in a meaningfully higher level than a year ago right now, we’re not seeing that yet, but we believe with these you know additional clarities that will come. Now at the same time we've got this interest rate movement component added into the mix and the marketplace is just trying to digest all of this. The biggest difference for us is that, as you said Mitch, in Q4 of 2016, we have this market dislocation and a disruption that we didn’t have in Q4 of 2017, but in Q4 of 2017, we still have the hesitancy and the headwind that we have been kind of saddle with since the election. And it’s our own initiatives outreached more clients, more market initiatives, fine tuning our training and so on, that’s resulted in a little bit of a positive trend on our pipelines and our inventory.
Mitch Germain: Got you. Last one for me, can I read from your comments that you’re going to be taking up a bit of a moderator approach to hiring, is that the way that we should be thinking about kind of the net adds on the year?
Hessam Nadji: Yeah, two things happen. We have seen this many times through various cycles. When the market adjusts to a different environment than rapidly rising market, like we saw from 2011 through let’s say 2015, a brand new agents ramp-up time, gets stretched, the amount of training that you have to do for them to kind of make it through their first couple of deals and then grow from there gets stretched. Therefore, they need more financial wherewithal to withstand their longer runway of getting going into business, apprenticeship and internships become more important, and then for a newer agents, that have joined us, as you know, we are a very effective hiring company when it comes to new agents and training them. A lot of them, as that make it through for the first six months or for the first year or 18 months and so on, have a more difficult time in this kind of a market environment getting to the next stage. So it becomes a little bit more decisive to say a larger percentage of it probably aren’t going to make it and therefore let’s transition out of the company. So it gets more selective on both the incoming hire and also in terms of maybe shortening the time lines on some of the folks that are unlikely to make it, because of the change in the market environment.
Mitch Germain: Great, that’s helpful. Thank you.
Hessam Nadji: Thank you.
Operator: The next question comes from Peter Christiansen of Citibank. Please go ahead.
Peter Christiansen: Thank you. Hi, guys.
Hessam Nadji: Yeah, hi. Hi, Peter.
Peter Christiansen: Hi, hi. So I guess the comments are kind of mixed in terms of the market, you guys – you have strong property fundamentals that are going on. A couple of confusion after the tax reform, some interest rate changes. I was just wondering you can give us some context that maybe on a sequential basis as the year-over-year is tough, but how is timeline market or inventory or the bid-ask spread kind of change particularly as we had this jump in interest rates?
Marty Louie: Sure, we’re seeing pretty stable metrics when it comes to time on the market, maybe just a tiny bit of stretch in the last 60 days, but nothing dramatic. We’re seeing steady reading on our ideal transaction and we’re seeing very stable number of offers on what we believe are reasonably priced assets in fact those assets are move in off the shelves very quickly and then we get multiple offers on them. What the – the change in the marketplace if you will really began in 2016, so if you look at those – all those readings they’re up from where they were and let’s say 2013 through 2015, but they've been fairly stable, except for Q4 of 2016 and Q1 or 2017, because we really did have a market disruption in those two quarters. Since then they've kind of settled back down. The hesitancy is more about on the list side, whether an owner is now at a point where they would like to pull the trigger and list the property. We are seeing some loosening on that front, but then that’s where the price expectation gap, which is you know still in the marketplace not only widening any further, but it’s still holding pretty, pretty steadily, so that’s where the price expectation gap comes in and our job is to really educate the seller on what is real market for their asset and what are their other alternative investments in order to pull the trigger. And so that bid-ask spread is still the main culprit for a slowdown in velocity.
Peter Christiansen: You had a pretty impressive year in terms of market share growth. I guess if we look outside of the top ten some of the smaller players out there. Are you seeing any consolidation at the lower end, the smaller end? And if so are you seeing any opportunities on the M&A side to scale up with perhaps some assets at the lower end that are performing not as well, given they don't have the strength of the platform.
Hessam Nadji: But we are definitely seeing hiring opportunity of experienced professionals that are with smaller companies, because our platform that becomes a lot more valuable, especially because of all the tools and the things that we have in place to help people through whatever market conditions may throw at us. So on the individual hiring and the team hiring, without a doubt, we are seeing opportunities there and we'll have some success there, as I mentioned in my formal remarks. On the acquisition of company's side, your point is very well made, in that the vast majority of players in our core business, whether it's Private Client investment brokerage or financing, there are small to midsized groups that act and function as companies. We are definitely looking at some opportunities to acquire some of those.
Peter Christiansen: And you guys did a great job blocking and tackling this year, given the volatility in the market. A lot with some of your events, switching to more auction type of events and stuff like that. Can you remind us, that was really something that kind of took place, I guess, midyear and is there any way you could quantify what the benefit was on the year? I'm just trying to figure out what the attribution would be between that? And I guess, normal status quo kind of thing?
Hessam Nadji: Sure, we really went on board with the idea that we needed to increase our market outreach, starting in Q4 of 2016. Very quickly, after we saw the interest rate movement and all the things that were happening in the fourth quarter of 2016. So we came into the year announcing additional events, where we could feature listings and investment opportunities across the country. One of the biggest advantages of our platform is the agility, because we haven't managed sales force and we have managers in every local market. Very quickly, we can basically gear them towards certain actions that need to be taken to increase client contact and increase really the exposure of inventory to different types of investment. I'll give you an example, the event that we had scheduled throughout the year really were kind of repositioned to make sure that we are showing higher cap rate inventory from places like the Midwest or Texas and secondary and tertiary markets to the coastal buyers, where we know so many of our clients are looking for a higher yield, but they are not been able to find that in the local market. Where we have over 40% of our business actually get executed with buyers that come out of area, this is the kind of example of being able to shift very quickly and engage in a campaign, which pretty much ran, not just through at mid-year, we’re really started in Spring of 2017 and so on. And that resulted in countless offers on that kind of inventory resulted in numerous transactions. I don't have an exact number to give you as to what came out of that process. But it is a part of – it's part of what we do. And another add on for us want to make sure that we attend and take a very important part in some offshore investor symposiums one in Shanghai in particularly that’s ended up being a very good vehicle for us to expose our inventory to foreign private client investor.
Peter Christiansen: Is there any sense of what percentage of your transactions are from foreign investors?
Hessam Nadji: For us, it’s probably in the low-single digits, maybe mid-single digits and it really is market specific, in markets like Southern California, South Florida, New York and Chicago it plays a larger role. But it’s really not a significant part of our business as a whole.
Peter Christiansen: Thank you, very helpful.
Hessam Nadji: Thank you.
Operator: The next question comes from Stephen Sheldon of William Blair. Please go ahead sir.
Stephen Sheldon: Yes. Hi, thanks for taken my question. I guess just first within the private capital market business, we saw declined probably for the quarter and year. And I know you gave some color on 2018 expectation. But have you seen any change of this in conversations over the last few months just given the deduction for pass through income that was included in the reform package?
Hessam Nadji: Hi, if you can clarify your question, it change in terms of sentiment or change in terms of strategy, give me a little more before I can answer.
Stephen Sheldon: More related to sentiment.
Hessam Nadji: Okay, got it. Is the sentiment is definitely has been affected in a positive way. I mean there's just more excitement there's more enthusiasm, people believe that the lower taxes going to help the economy and real estate the fact that the key provision for real estate stayed intact, whether it's the interest deduction, whether it's depreciation and whether it's the 1031 exchange mechanism. All that is very, very helpful business. Plus with the lower tax rate on passthrough entities once the clients and get them answers and their tax advisors, can give them answers and we've had situations where client is asking the same question of two different tax advisors and they're getting two different answers. So those are the kinds of wriggles if you will in a very well laid roadway that needs to be ironed out. We believe it just a matter of time before they do. But the energy to do more in real estate is definitely there.
Stephen Sheldon: Okay, got it. It’s helpful. For the consulting revenue you saw in the quarter related to large transactions, lot of that revenue flow through to bottom line, and I’m guessing and wondering how much of an impact that may have hadon margins in the quarter?
Hessam Nadji: Well, I think you're referring to other revenue category, which is predominately consulting and advisory services. Remember those fees are generated by our agents for on whatever their split is with the company. So they're treated as a brokerage revenues are. We're financing, if it's a financing professional that does a consulting this time in a row advisory fee, but splits with our team does not change based on the type of business they bring.
Stephen Sheldon: And should we expect I guess a more normalized level of consulting and advisory revenue if you look through 2018?
Hessam Nadji: Yes. That’s probably – obviously very – it’s a lumpy category in that – it really ebb and flows with whatever opportunities come up for us based on client need. But what's really important is my earlier comment that these are our clients. We're doing business with them. We're selling things for them. We're helping them by things. And there are times when especially larger accounts, institutional investors, portfolio investors, really don't know what to do yet. And or they need recapitalization, restructuring of ownership or other slightly different services than they traditional fail, and were still there, we’re still there without capabilities, without research, without expertise, and certainly without relationship, so that we capture that revenue. But it is lumpy.
Stephen Sheldon: Got it. Thanks.
Operator: The next question comes from Blaine Heck with Wells Fargo. Please go ahead sir.
Blaine Heck: Thanks, good afternoon. In your remarks Hessam, couple times you’ve talked about the bid-ask spread you guys are seeing in the market. Can you just expand a little bit on that and has it widened recently and are you seeing that it's affecting kind of large transactions versus smaller transactions or one sector over another or is it pretty consistent across the board?
Hessam Nadji: Sure. We’re seeing the widest GAAP in the product types that you would view as the highest risk product types. So in the most recent months, I would seniors housing and hotels have seen the highest bid of spread, more recently because of all the negative press, frankly over blown press, press that we’ve been out there trying to counter with good educational information sharing on multi tenant retail, which is getting a little bit about throwing the baby out for the bathwater because of all the buzz around e-commerce and all that. Those re-product types are seeing perhaps the widest and I would say maybe why didn't in the last three or four months. And the most feeble on that apartments, manufactured housing are seeing the least. On the apartment side, which is an important part of our business and single tenant at lease side, it’s more about whether the seller is ready to sell, and what their investment alternatives are? What do they want to exchange into? And that’s where there has been – because of the price you know appreciation with the past few years and very healthy occupancies and cash flows. There is less motivation right this minute until we get more clarity on the tax side and so interest rates hopefully stabilize bit.
Blaine Heck: Got it, that’s helpful. And it seems as though the industrial transaction market has held up better than some other sectors. So how do you guys think about growing there, is there anything specific that kept you guys largely out of the industrial transaction market or is it just kind of a matter of building the team in that sector?
Hessam Nadji: Well, first of all, you're absolutely right, industrial is the hardest sector right now, in fact, if you were to look at the transaction market, and you took out industrial in the way we count the person change in velocity, and our market share gains and so on, industrial has been up year-over-year while other products actually been down more year-over-year. So there’s overall market slowdown will be more pronounced if you exclude it industrial, because it is that the hardest sector and showing additional velocity. For us it has not been a major product type really for two reasons. One, industrial has a very large component of owner user, ownership profile, there are lot of small to mid-size manufacturing or distribution companies, own their own facilities. And so it's not really viewed as an investment vehicle, cash flow type of investment vehicle for the type of investor we typically serve. And the other side of it is that they are such a diversity in the base of industrial spacious very large assets and then very small incubator space and smaller asset, it is definitely a growth area for us. But it’s not a growth area for us in every metro. There is about 13 metros that we have identified as the most conducive to our type of investment brokerage and our kind of client profile we’re hiring, training and deploying for industrial and having some very good success, by the way it's a very small base of our revenue as you know right now, but it was one of the highest growth components for us in 2017, as well as the office sector. And that’s do not so much because that office market is doing anything different than our apartments or retail. But for us it's a matter of having hired more people in the last few years, having improved our training last couple years and having put more emphasis on office and industrial as part of our revenue diversification. We do it as a growth opportunity for sure.
Blaine Heck: All right. Makes sense. Last one from me. Hessam if you’ve talked about buybacks. How do you think about the possibility of share buybacks given that you guys have kind of a relatively small market cap compared to some of your peers, so I guess what are your thoughts on balancing the desire to grow the business and have liquidity in the stock versus returning capital and maybe taking advantage of what could be maybe temporary price dislocation in the stock.
Hessam Nadji: First, I mentioned in my comments. We don't have the specific plans finalized yet. But we're actively looking at the best mechanism and the best magnitude of returning some capital to our shareholders. Mainly because now we’re in a position as a company, the public company to be able to explore that so whether buy back our practical or not and what size – it’s too early for me to comment.
Blaine Heck: Okay. Fair enough. Thanks guys.
Hessam Nadji: Thank you.
Operator: Sorry. There are no further questions at this time. I now would like to turn the floor back over to Hessam Nadji for any closing comments.
Hessam Nadji: Thank you very much, operator. Let me get just thank all of you for joining our call. Let me acknowledge the hard work of our team and helping our clients through a market change and let me thank our shareholders for their confidence and as we're looking forward to having you on our next conference call. Thank you very much.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thanks for your participation.